Operator: Okay. Hello, everyone. Thank you for joining us on the webinar today. Before we begin, I'd like to announce that we'll be referring to today's earnings release, which was sent to Newswire earlier today. I would also like to remind everyone that this webinar call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management, and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR and the company does not assume any obligation to update information contained in this call. During the webinar call, we will also discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the Company’s presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. Also I'd like to mention that following the presentation, there will be a question-and-answer session, during which you may submit questions by selecting the raised hand icon at the bottom of your screen. Your questions will be polled in the order they are received at which point you will be prompted to unmute your microphone before speaking. With that, I would now like to turn the call over to your host, Fred Vandenberg, Chief Executive Officer.
Fred Vandenberg: Thanks, Sean. Again today, we have myself, Fred Vandenberg and Glenn Mattern, who leads our Business Development Group.
Glenn Mattern: Hi, Fred. Hi, everybody. Thanks.
Fred Vandenberg: What we want to talk today to you today about is, are really two things, the results and the growth activity. So when we presented to you at the end of November, we were talking about our long-term goals and how we think we're going to get there or the strategy we're following to get there. And so the format of these webinars at least going forward anyway, we'll be just talking about what happened and then what we did to work on towards that – towards those goals. With that, I'll turn it over to Glenn to talk about our results.
Glenn Mattern: Thanks, Fred. Hope everyone has enjoyed their holiday break. I'll keep this really brief. There isn’t too much to discuss until last call in late November. I should mention that the music industry has slowed down considerably almost at a standstill for a few weeks over the holidays, so we're happy to see our customers back to work. In terms of Q1 revenue, we saw just under 2% growth, if you remove the negative impact of currency exchange. Our revenue growth was small during the quarter, but we have a few things of interest to review. We've had turnover of a couple of clients in the UK and Australia due to the budget restraints, which we're working to renew. These losses partially hide some of the advances we're making. And despite them, our growth is exceeding our client rotation. We're really starting to see the results of our investment in our business development team. Several of our new team members were our customers at some point and have a deep knowledge of music promotion, our platform, and a large network of contacts. This improves our ability to connect and relate to our existing client base and expand our network of users and recipients. In Q1, we've seen a 65% increase in revenue from U.S. majors. We've seen this year-over-year Q1 increase in part due to a two-year contract with a major U.S. label, which commenced in May of 2021, improved usage by major national clients, some major - some larger catalog releases and improvement in engagement and usage by several major sublabels. I should also mention that while we are targeting higher revenue growth, this was in fact Destiny's highest revenue single quarter in 10 years since Q3 of 2011, and the second highest quarterly revenue in the company's history. It is also the highest independent label revenue in the company history, which is influenced by highest indie revenue in U.S., in Canada, Australia and in Europe. We haven’t had a lot of change since we last spoke to you before the holidays, but our focus over the coming months will continue to develop Canadian, Latin and these underserved markets in the U.S. Things are going in the right direction. At the start of the quarter, we began an exclusive two-year agreement with Warner Records in South Africa, which really helps embed us into that market. We've had a 25% increase in releases in Canada and continued revenue growth. In Latin America, we continued to expand our lists in both U.S. and Puerto Rico, as well as operational lists in 19 additional countries such as Argentina, Bolivia, Brazil, Belize, Chile, I can go on, but much of Latin America. And as a result, we're really starting to see an increase in active recipients, which have doubled us between Q1 2021 and this quarter - this past quarter. In the underserved U.S. formats, we've discussed, such as top 40 rhythmic and urban, we continue to gain some contraction and we will keep focusing on these genres to increase independent revenue record label sales, pardon me. And lastly, I just wanted to comment that we're in the midst of a renewal discussion with Universal Music, which we expect will ramp up later this month. And I just want to say that these are amazing partners, and we sincerely appreciate the collaborate relationship our teams enjoy. So with that, Fred, I'll turn it back to you.
Fred Vandenberg: Thanks, Glenn. The - our immediate goal is to significantly expand market share for Play MPE. And with that we are really investing in the platform, that's one of the most significant investments we make. We've got a team of approximately 19 software engineers, product design and product managers that have been focusing - 19 right now, it's down a little bit over the average over the last year, but we're focused on building out certain functionality for Universal, so that their distribution hubs can move over to the browser-based platform. You'll see on the slides here that these major components of the sending side software, the Caster side and the investments we made in 2021 - calendar 2021 and mostly in fiscal 2021 relate to context management release sharing and release scheduling. Release scheduling is embedded in releases. With this investment, we expect to transition the distribution hubs over to the browser-based platform and significantly expand Universal's usage. I'd be more than happy to delve in and talk in detail about what all these different components do and the benefits that they add, but that's beyond this call. But the important things to take away are that these - the functionality of these hubs, so these portions of the platform are really plugged into Universal's global release management process and the benefits inherent in these sections are -- really provide a lot of control and a lot of time savings. They improve the accuracy and they facilitate the global marketing campaigns. If you think about it, like if you're a global label that manages hundreds of sublabels in dozens and dozens of territories and each of those sublabels has different departments, whether it’s marketing or promotions and those departments are separated into different genres of music, for example, or different departments anyway. You really want to make it easy and efficient to make this whole promotions process simple, streamlined, time savings, a critical path, for example, would be making sure that recipients are accurate within the system and the context management, until you really delve into it, until you look at what we actually do, until you are in the platform, it's a little bit challenging to describe how many cost savings or time savings there are. But if you want to update a recipient, for example, that update is across platform and that just saves an enormous time and it's really part of the critical path of promotions. It also maintains efficiencies of not duplicating work across the globe and making sure that ISRC codes are accurate across the globe which would directly impact royalty remittances. So there's an ongoing investment of time in our software and that's the main focus of what we've done from that standpoint over the last year. We are recruiting for additional products and design staff, both to maintain the existing platform, but also to look at new products. But that's not - there hasn't been a lot to say over the last six weeks, say, because that involves Christmas and the industry really - this year, especially the - all recruiting efforts stopped in early December and I guess nobody is engaging with that. With that, I'll turn it over to questions.
A - Glenn Mattern: Okay. Yes, thanks, Fred. So we'll now begin the question-and-answer session. So should you have any questions, please raise your hand by selecting the hand icon at the bottom of your screen and your questions will be polled in the order they are received, at which point, you will be prompted to unmute your microphone for speaking. You can remain off and once unmuted, you can ask your question. If you raise your hand, please ensure you have access to a microphone. And should you wish to retract your question, you can select the hand icon again to lower your hand. So your first question today is from Gerry Wimmer.
Gerry Wimmer: Hello?
Fred Vandenberg: Hey, Gerry.
Gerry Wimmer: Yes, how is it going?
Fred Vandenberg: Good.
Gerry Wimmer: Thanks for taking my questions here. Can you give me a little better clarity on the customer turnover mentioned, obviously, revenues have been flat for I guess, three quarters now during Q3, Q4, Q1. I mean it's been about 4% in total. So it’s hard to get a sense of what's rolling and what is – what you're losing on, because the net effect is pretty much even. Can you give me some color on that, please?
Fred Vandenberg: Sure. We did have some customer turnover with Sony in Australia. That probably hit all of those quarters as you mentioned. So that's hitting the growth a little bit. There is a little bit of hit from FX. And also I think, we had really high independent growth last year, so the comparison is a little tough, but we're still working towards growing out the Latin platform - the Latin segment. And when I say Latin, it's a big word. Latin is the - it covers an entire continent pretty much and also goes into the United States, Central America, and clearly Spain in Europe. So we're moving towards that - moving towards those growth in those sections.
Gerry Wimmer: Fred, would you say that you would anticipate quarter-to-quarter growth from this point forward?
Fred Vandenberg: I mean, we are always targeting growth. The…
Gerry Wimmer: Because you have an easy comparable next quarter.
Fred Vandenberg: Well, it's -- Q2 is always a -- is our slowest seasonal quarter, right? So…
Gerry Wimmer: Comparable is easy.
Fred Vandenberg: Okay. I don't remember, Gerry. You got me there. The growth, I think we're always targeting growth. I think we will continue to grow. I wouldn't necessarily look at one month or one quarter and worry about that. I think we're making all of the right moves to position ourselves for long-term sustainable growth at a faster rate than we've – when we see is - when we - I talked at it last quarter about where we want to go in five years. That wasn't necessarily to suggest that it's going to be a straight line to that. There might be some delays. What we saw in the past is, if you go back in our history, and we're kind of following the same cookie cutter pattern. But if you go back in our history, we had to give away the platform and build up that network of use and build up content, then you get recipient activities. And when you reach a certain threshold, the point where you really commercialize that segment begins. And so what you see is, in this period of time where you're working hard, you have new business development people, your KPIs are increasing, and all of a sudden then the revenue comes in. And that's - there's -- it's not a -- it's kind of unique in that sense. The market is not like you're selling toothpaste. You don't make revenue when the first tube of toothpaste goes out. You wait a little bit.
Gerry Wimmer: Okay. Are you satisfied? I mean, your sales and marketing expenses have gone up last year by 40%. I think also 40%, comparable to Q1 of last year. Are you -- with the increased marketing - sales and marketing, are you seeing the dividends from that investment? Obviously, on the revenue side, these things don't happen immediately, but are you satisfied that you're getting a proper leverage off your increased sales and marketing or the sales and marketing plan you have in place?
Fred Vandenberg: Yes. I - yes, is the short answer. It doesn't - it's not like switching on a light, right? You build out a market. You build out that network of use. So it does take time where you don't have a return right away. But what you see, for example the United States, you see independent record sales going up on average about 9% over the last dozen years. And that's what -- once you toggle over into that commercial stage, that's what we'll hope to see in all these new segments. It just takes some time. It takes some patience. And the -- over the last history or outline, rehashed the whole entire last five years, but we had to make some improvements to the platform, then improve our business development and we established a marketing department. And that marketing department really is learning about what advertisements were, and there's just an absolute ton of choice. But absolutely, they're learning about what is effective, what generates good quality leads, what support activities. They're really there to support our Business Development Group, and whether it's explaining what we do, and why you should buy Plan B, or even, you know, brand awareness in new markets, those things are planned out and we're learning about what works and what doesn't.
Gerry Wimmer: So you are confident that this increase in sales and marketing expenditures, based on the plan you have today will lead to increased revenue growth, you're on that path, or you see the visibility of those efforts and increase in spend?
Fred Vandenberg: Absolutely.
Gerry Wimmer: Fair enough. On the Universal contract, and I don't know how much you can say or not say so. You'll tell me what you can say. First of all, what percentage of the current sales is attributed to that contract? And if the contract is renewed do you envision an uptick in revenues from the renewed contract? I don't know what the pricing policies of the new contract or the magnitude of the contract, can you give me a little color on that?
Fred Vandenberg: Yes, sure. I'm a little bit -- I don't want too much about ongoing negotiations where we're -- we extended, we extended for a month. The Universal -- first of all, I am also not going to talk about specific details of a particular label, whether it's Universal or the smallest label, but I will talk about the platform and how it impacts that -- what -- how we approach this. Universal is currently 37% of our revenue. We invest in a great deal in the platform. And when we do that, we have to satisfy a wide range of users. So within Universal, you really look at the distribution centers and all the control, the time savings features that they want, you look at the distributed centers around the world, there's a whole slew of different things that those different territories need, whether it's different languages or there's Canadian content rules, or whether there's local integrations like Mediabase or Billboard, BDS in the United States, so there's all sorts of things that's distributed people need. And then, probably most importantly, and this can be lost in the shuffle sometimes is, is the recipient side of things. So we maintain players on browsers, and mobile apps and different languages, and that there's a huge investment that we make that maybe the customers don't see directly, because they don't see that side of software. They do, because they are on the player side as well, but when you look at it and the sending side, that satisfaction is an indirect view; you don't see it until the numbers are better or worse. So we have to maintain this platform and so I think the trick that we have, whether it's Universal or anybody is connecting, connecting and explaining the value that we bring to what they -- what the customer needs and is willing to pay for. So I think Universal does a really intelligent -- has a really intelligent approach to how they manage their global marketing and promotions functions. They -- the savings that they get, the efficiencies, the control that they get through the Play MPE platform, and hopefully, you see how happy I am with the platform. But it is I think, a really intelligent way of approaching it. It's not something I think that other labels have. I have to be careful how I say this, but they don't benefit from that strategy as well as Universal does. And so it's really, I mean, it's I guess it's us trying to explain even to Universal all the benefits that they receive from us and as far as how it impacts our revenue going forward, I can't comment on that on how it does or we're still right in the midst of negotiations. So what I can tell you is that, we provide an enormous amount of benefits to them and we are working hand in hand with what they want.
Gerry Wimmer: Would the scope of the contract be larger than what you reviewed previously or would it be the same or you can't say?
Fred Vandenberg: It depends what you mean by scope. You're talking dollar revenue?
Gerry Wimmer: Of different services that you provide and more service that you'll be providing them less services or…?
Fred Vandenberg: Well again, that's sort of gets into the details of the contract negotiation, I don't know. If we have to -- like I said earlier, we have to connect the value that we bring to the revenue that we get. If one doesn't support the other then there's something that has to change. So it's -- that's not something I want to really get into anymore.
Gerry Wimmer: Okay, perfect. And finally, my last question quickly, the buyback I don't think was renewed. Maybe I missed it, but maybe can you comment?
Fred Vandenberg: Yes, the buyback well actually still actually in place. It's still in place until tomorrow. We're talking about it. I don't have anything further on that yet, at this stage.
Gerry Wimmer: Okay. Thank you, Fred. Those are my questions.
Fred Vandenberg: Okay. I actually, I received some questions this morning and I think Gerry kind of tipped me off on it. But there's some questions that maybe I should address right now in case they don't get asked. One was about the office lease and why do we terminate it earlier? I don't know, some people may not have seen that, but our office lease was scheduled to terminate in June. We were asked to terminate early and we kind of jumped at the chance to do that. The -- there's probably a couple of reasons why we did that, but we have a AAA office space in a bank in the center of Vancouver. If you see when Glenn speaks, you can sort of get a sense of where we are. I'm off site right now, because I'm quarantining because I actually had COVID, but it's not a, it's not an office that suits our culture at all. So our desire to terminate early was to well, first of all, the office is expensive; it's more expensive than we need. But that's not really the primary reason, it's just not a space, not a space that is, helps us with recruiting. It is the opposite of cool. And, we're a tech company in the music industry. And, when we appeal to potential recruits, we hype that we want to be a place where people want to show up and the office space didn't jive with that. So there's really a couple of reasons, I do want to save a little bit of money, but that's really not the main reason. It's more just, it doesn't fit our culture at all. The second question that I received was about the stock options. If you saw that in a couple months ago, a few months ago, we announced some stock option grants. And we're getting the stock option approved in the AGM in next month. The purpose of that is it really staff retention, staff recruitment. Those are the sort of the main reasons I believe largely avoided the great resignation that you have seen or hearing about, which is especially hitting the tech sector. The -- especially when it comes to software developers, we're hitting some pressures on salaries, especially in Vancouver. And we've really addressed that impact by being a little bit smarter about how we use developers. We've probably mixed our components a little bit differently. And making sure that, anytime a developers is working on development activities, that we make the greatest efficient use of that person. So we've hired more product designers to just make sure there's no waste of time. So there's a little bit of a mixture there. But the stock options is really just a fact of life to address rising pressures on costs and help us to attract new software engineers. The last question that I had is really about KPIs. A lot of people asked different questions and they're all very interesting questions. They center around distributions, activities within the platform. On the sending side you get distributions sends in releases, and they're really just the measures of how many songs go to how many people or how many releases there are. And then on the recipient side, you get activities of downloads and streams and interactions with the platform. The questions I think really are centered around -- there's a few different questions on it. But basically, it's when do those activities result in revenue? Or how those -- are those activities related to revenue? And the answer is a little bit intricate, but it's really the -- when you establish a new market, you will see a rise in distributions and sends and releases. And then as that market becomes a network of use, you'll see rises in downloads and streams and the other activities within the platform. So really, the first comes first and second comes second. And then once you reach a certain threshold, that those amounts become commercial, converting into result in commercial agreements. When that is clearly a very contextual question, what you saw, for example, in South Africa, South Africa is a tiny market, but it's a nice little market to look at. We had Universal's usage for a long time, I don't remember the years when it started. But then Warner started on trials and then last year, we started selling to independents. That growth is a little small at the point -- this point, but then now we have signed an agreement with Warner, South Africa. A tiny market, but it's a nice little picture of what's our strategy. Latin is obviously a huge market and it's not one thing. So there's Latin in the United States and we're a little bit further down the track in terms of getting distributions and activities on the recipient side, but you'll see little pockets of success within Latin like Argentina, or Chilean and Spain, where we have activities on both sides of the platform. When did those activities result in revenue is a bit of a -- is a negotiation, so we're working our way through that and I hope to see some revenue from Latin this year. If you look back in what we did in the U.S. when we started, it was more what we called pilot agreements, but they are nominal agreements that just sort of established a little bit of revenue to help mitigate costs. And then you really start to see the value break out after that. Anyway, that's the -- sorry, the questions that I received this morning. Sean, I don't know if there's any other questions.
Operator: No, no more questions, currently at this time. I think there are just have one more question submitted from Spencer, Tom. So you can go ahead and unmute your microphone.
Unidentified Analyst: Hi, Fred. I was wondering whether you could talk a little bit about what you're targeting as successful outcomes from your current to UMG negotiations. I realized it's kind of broad, but you're clearly looking for some kind of a change in or kind of an evolution in the contractual relationship. So your comments on either side or either part of that question would be helpful I think.
Fred Vandenberg: That's a, I mean it's an interesting question. I've touched on it with Gerry's question. What's the successful -- I think if I connect the value that we bring that the costs that we incur, and we successfully communicate that, how that results or how that impacts the contract is a different question. There's lots of balls in the air, I would say, I would really prefer to keep that contract as simple as possible for a lot of different reasons. I think one of the things that Universal did with it, that was really smart was centralized that agreement. And so, you didn't worry about, like the head office didn't worry about recovering the cost of activity within the platform, to a particular territory, because our distribution in Indonesia, and it’s, if it's a new market isn't the same as distribution in the United States, so figuring out that, it's different thing. And then also, you get a ton of activities or investments that are not really related to activities, distributions. So, you know, they'll benefit. All these different territories with benefits, say, for example, with a release that's replicated. That saves in Chile, if Chile uploads the same release than the -- all the metadata that the song, the cover art, artist information, whatever it is, is all right there. And there's certain integrations that we've had that make it easier to even establish that release in the first place. I don't want to get too specific on how they do things, but the platform provides real strong efficiencies that are, they save staff time that just don't, that they don't translate into activity. So I guess a successful agreement would just be something where we've successfully communicated the value and captured that value and got a return on what we invest. How that works is, we'll see, I guess.
Unidentified Analyst: Well thanks. There is one other question. These contract negotiations historically have varied in length. So do you have any feeling for whether you folks are close or whether this might -- this is when we try and got a little bit? I realize it's hard to predict, but the question is because we've had something that got way out there and I think that's really what I'm asking about. So, if you think your folks are getting close, it's really just kind of just trying to get a feel for that, that's reasonable.
Fred Vandenberg: Yes, no I understand. I guess the length of the contract really is, there's a trade off, right? The longer it goes the -- I think the lower the fee that we could negotiate or they could negotiate is shorter. We have to get a higher fee. So it's these kinds of things are tradeoffs. But, we've had a long-standing relationship with Universal. And, I mean, we started working with them, I think, in 2002, that predates me. And I think, for the most part, it's a very, we kind of look at them as more of a partner. We want them to pay more. They don't want to pay as much. It is like the sort of natural customer client relationships. But I think our interests are, aside from that really 100% aligned, like even if it's, even if it's work that we do for another client, for example, they benefit, Universal benefits if there's activity in the platform. So if we benefit another client, Universal benefits from that sort of network of use, if we benefit, if we do something that makes it easier. So, like password lists, logins, password lists authentications with our end users, that makes it easier for our user to look at the platform, look at this, the content; it makes the value that Universal fees higher, because they're getting greater activities. Sorry, I'm probably going off on a tangent there, but the length of the contract is really, I kind of look at our relationship with Universal as a long-term one that we're more of a partner than anything, and I just, I would rather, I'd rather lock it in, so we don't even have to talk about it, but I don't know where it will end.
Unidentified Analyst: Perhaps it wasn't, I didn't realize that might have, I might have kind of misinterpreted it or kind of misstated the question. In terms of the current negotiation process, do you think you folks are starting to get pretty close now or, because that's the process ?
Fred Vandenberg: Oh, I'm so sorry. I thought you meant, yes sorry. I don't know. It will depend a little bit on how well we can communicate the value that we bring and it's a matter of -- our target is the end of January. I'm hopeful that we'll resolve it by then, but I think we're more keen to get the right agreement than speed.
Unidentified Analyst: Sure, but this sounds like sooner rather than later, am I correct about that?
Fred Vandenberg: Sure. There's a keenness to put it behind us so we can concentrate on moving them over to the browser based platform, web based platform, whatever you would call it, and expanding their usage. Really, I think sometimes we tend to focus too much on the solutions and then forget about marketing ourselves to them. So we're trying to get that behind us as quickly as possible.
Unidentified Analyst: Okay. Thanks so much.
Fred Vandenberg: Thanks, but I probably went off on a tangent there that hopefully was useful, but I sometimes can be, walk down the path. I think Sean, is that, probably that's probably .
Unidentified Analyst: Yes, it doesn't look like there's any more questions submitted at this time.
Fred Vandenberg: All right. Let's wrap it up. I kind of wanted this to be a little bit faster than that, because it's the time of year. But anyway, thanks for joining the call and we'll speak to you in a few months.